Operator: Good day, ladies and gentlemen, and welcome to the Miller Industries First Quarter Results Conference Call. Please note, this event is being recorded. And now at this time, I would like to turn the conference over to Michael Gaudreau of FTI Consulting. Please go ahead.
Michael Gaudreau: Thank you, and good morning, everyone. I would like to welcome you to the Miller Industries Conference Call. We are here to discuss the company's 2023 first quarter results, which were released after the close of the market yesterday. With us from the management team today are Bill Miller, Chairman of the Board; Will Miller, President and CEO; Jeff Badgley, President of International and Military; Debbie Whitmire, Executive Vice President and CFO; Frank Madonia, Executive Vice President, Secretary and General Counsel; Vince Tiano, Chief Revenue Officer; and Jamison Linden, Chief Manufacturing Officer. Today's call will begin with formal remarks from management, followed by a question-and-answer session. Please note, in this morning's conference call, management may make forward-looking statements in accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. I'd like to call your attention to the risks related to these statements, which are more fully described in the company's annual report filed on Form 10-K and other filings with the Securities and Exchange Commission. At this time, I'd like to turn the call over to Will. Please go ahead, Will.
Will Miller: Thank you, and good morning, everyone. We had a great start to our 2023, generating record quarterly revenue and significantly improved profitability compared to 2022. Sales in the quarter increased 31% year-over-year, due to improved availability of component parts. Gross profit for the first quarter was $30.4 million, an increase of 98.3% compared to the prior year quarter, while gross margin of 10.8% improved 370 basis points year-over-year. We are encouraged by our profitability levels as input costs have begun to stabilize and we are benefiting from our efforts taken to offset inflationary pressures. We are seeing continued signs of supply chain improvement as we move forward in 2023. Demand for our products remains strong, and we have not experienced order cancellations despite the challenging macroeconomic environment. We have decided, in light of our strong sales and elevated backlog, to continue to accumulate inventory in the form of goods near completion and feel that investing in our business in this manner is the best use of our cash in the current environment. That said, we are taking all steps necessary to deliver finished goods as quickly as possible and recognize revenue on our significant backlog. Meanwhile, we are continuing to evaluate all opportunities to improve the flexibility of our supply chain to ensure its stability going forward. We continue to diversify our sourcing with new suppliers, focused on utilizing our engineering and redesign capabilities to improve our ability to adapt to supply chain constraints and will consider vertical integration where feasible. In our international business, which makes up approximately 10% of our sales, demand remained strong. During the first quarter, we experienced a partial benefit from the price increase implemented and we believe that we will recognize the full benefit of these price increases as the year progresses. Lastly, before I turn the call over to Debbie, I'd like to acknowledge the governance changes we made during the first quarter. As we've cleared the challenges of the pandemic and our operating and financial results improved, we were able to turn our attention to improving our governance structure. Our Board refreshment process began in earnest with Leigh Walton's appointment to the Board in 2020, and accelerated with her appointment to Chair of the Nomination and Governance Committee in August of 2022. Ms. Walton, a nationally recognized professional and corporate governance is well qualified to lead this effort. During the first quarter, we added four new highly qualified directors to our Board. They have already demonstrated their value as part of Miller Industries team and we are looking forward to continuing to work with them to maximize shareholder value. We've also based on feedback from shareholders and with input from Pearl Meyer, a leader in executive compensation consulting, adopted a new executive compensation plan. Under this plan, management compensation is more closely tied to the profitability and shareholder interest and also more closely aligned with our proxy peer group and relative executive compensation and structure. We believe these changes to our governance will position Miller Industries for long-term success. Now I'll turn the call over to Debbie, who will review the first quarter financial results in more detail. Following her remarks, I'll provide some closing comments and update on our outlook. Debbie?
Debbie Whitmire: Thanks, Will and good morning, everyone. Net sales for the first quarter 2023 were $282.3 million versus $215.5 million for the first quarter of 2022, a 31% year-over-year increase driven by increased deliveries of finished goods and continued strong demand across all our products. Cost of operations increased 25.8% to $251.9 million for the first quarter of 2023, compared to $200.2 million for the first quarter of 2022. The increase in our cost of operations is due largely to our higher revenue levels. Cost of operations as a percentage of net sales, decreased approximately 370 basis points from the prior year period at 89.2%. Gross profit was $30.4 million or 10.8% of net sales for the first quarter 2023, compared to $15.3 million or 7.1% of net sales for the prior year period. The year-over-year improvement in gross margin was driven by our price, increases improved delivery and stabilization of inflation on the cost of some raw materials. Gross margin declined 50 basis points sequentially, due to a shift in sales mix which fluctuates quarter-to-quarter. Additionally, our fourth quarter has historically been higher quarter-to-quarter than our first quarter. We continue to expect strong year-over-year gross margin improvement. SG&A expenses were $17.9 million in the first quarter of 2023, compared to $12.4 million in the first quarter 2022. The increase is due largely to approximately $1.1 million of non-recurring costs associated with legal and professional fees as well as both -- as well as bonus accruals associated with our new executive compensation plan. As a percentage of sales, SG&A was 6.3%, 60 basis points higher than the prior year period. Moving forward, we would expect quarterly SG&A expenses to be consistent with levels in the first quarter excluding these non-recurring costs. Interest expense for the first quarter 2023 was $1 million up from $418,000 for the first quarter of 2022 related to higher debt levels, increased interest rates and increases in our distributor floor plan financing costs which as a reminder, flex up and down with revenue. Other income for the first quarter was $318,000, compared to an expense of $52,000 for the first quarter of 2022 attributed largely to currency exchange fluctuation rate of the euro and British pound. Our effective tax rate for the quarter was up 21.9% increase, compared to increase -- compared to our prior year due to favorable tax adjustments in our foreign tax jurisdictions during the first quarter last year. This quarter's effective tax rate was in line with our typical rate and is similar to what we would expect moving forward. Net income for the first quarter of 2023 was $9.2 million or $0.81 per diluted share, compared to net income of $2.1 million or $0.18 per diluted share in the first quarter of 2022. Turning to the balance sheet, cash and cash equivalents as of March 31st 2023 was $29.7 million compared to $40.2 million as of December 31st 2022 and $29.3 million as of March 31st 2022. Accounts receivable as of March 31st 2023 was $233.1 million, compared to $177.7 million as of December 31st 2022 and $193.9 million as of March 31st 2022. Inventories were $164.4 million as of March 31st 2023, compared to $153.7 million as of December 31st 2022 and $124.4 million as of March 31st 2022. As Will mentioned earlier, we were making the concerted effort to continue to invest in our inventory given our elevated backlog. We are starting to see more meaningful improvement in the delivery of finished goods and the match-up of purchase component parts. However, given the demand environment, we feel it's still prudent to invest in inventory. Accounts payable as of March 31, 2023 was $169.5 million compared to $125.5 million as of December 31, 2022 and $139.3 million as of March 31, 2022. During the quarter our outstanding balance on our $100 million revolving credit line remained at $45 million. However, we pay the balance down by $5 million in April with a current balance of $40 million. As it relates to capital allocation, we remain focused on returning capital to shareholders through our dividend. We are also continuing to invest in projects that improve productivity, capacity and the health and safety of our employees. As Will alluded to we are feasible, we're also looking at potentially in-sourcing some aspects of our supply chain. In addition to these investments in the business and returning capital to shareholders, we are also striving to further reduce our debt balance and the associated interest expense, especially, as our accounts receivable convert to cash. As we have stated in the past, we're a data-verse company. However, when making capital allocation decisions we are always focused on the long-term return on investment for our shareholders. Lastly the Board of Directors approved our quarterly cash dividend of $0.18 per share payable June 12, 2023 to shareholders of record at the close of business on June 5, 2023 marking the 50th consecutive quarter that the company has paid a dividend. Now I'll turn the call back over to Will for some closing remarks. 
Will Miller: Thank you, Debbie. 2023 is off to a strong start and we remain confident in our strategy, given our strong backlog and the demand for our products in the marketplace. We are well-positioned to deliver on this backlog as we continue to accumulate inventory in the form of near-finished goods and we would expect further cash availability as deliveries improve and inventories come down. We are encouraged by the significant increase in year-over-year profitability and believe we'll be able to sustain improved margins. Based on our strong start and current market dynamics, we are confident in our ability to generate over $1 billion in annual revenue with significantly improved year-over-year profitability. As always, the entire management team and I would like to thank all of our employees, suppliers, customers and shareholders for their continued support of Miller Industries. At this time, we'd like to open the line for any questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Arnold Ursaner from Ursaner Family Office. Please go ahead.
Arnold Ursaner: Hi. Good morning. Thank you for taking my questions. I had a couple. My first one relates to the Q4 to Q1 gross margin. In your prepared remarks, Debbie you mentioned a mix was an issue. But I have -- I guess one question I have is the number of days your plants are closed in Q4 versus Q1. I would have thought just from seasonality you would have much better gross margin, especially, coupled with the price increases you put in --in January. So could you comment a little on the factors impacting gross margin, but more importantly how we should think about it on the balance of the year? 
Will Miller: Well, I think, if you look historically and certainly this year there were year end favorable adjustments in Q4. And if you look historically at the company over the past 10 years to 12 years generally Q1 is a lower margin quarter than Q4. 
Arnold Ursaner: Okay. Except this year you put in pretty dramatic price increases that should have had a direct impact on gross margin. 
Will Miller: Those price increases as we mentioned in previous conference calls in previous quarters, they were implemented, but did not take effect until March of Q1. So we did see some benefit of those price increases but only for March. 
Arnold Ursaner: Okay. So that's different than your previous calls where you said they were going -- 8% was going in effective January 1. So that's a change. Is that correct? 
Will Miller: I believe what -- originally, we stated that. And then, I think in a further statement we said that we delayed them until March. So, originally, we anticipated a January 1 price increase. And then, we later delayed that to March for customers.
Arnold Ursaner: Okay. Will, since you answered that call I may ask one of you. You, in public statements, have said you hope to enhance shareholder engagement in the upcoming year. And, obviously, the Board refresh is a step in that direction. Could you speak to likely investor conferences you're planning to attend or how you plan to actually get in front of investors in the next several months? Thanks.
Will Miller: Yes. We are currently working with our Board of Directors to pick out some conferences to attend. We have not pinpointed those at this time, but I'm certainly looking forward to the input that they have on what they believe is the best conferences for this company to attend with the best audience. And we're also -- we refreshed our Investor Relations website, so trying to make it easier for investors that are interested in joining the call. We've added the -- they can visit millerind.com/investors or e-mail investor.relations@millerind.com to request access to the call as well.
Arnold Ursaner: Okay. Another kind of important question for investors. You mentioned you might in-source more products internally. Could you comment a little more in detail on whether you do this through investment engineering which you mentioned, or would it be just as easier or more likely you might add some of that through acquisition of specific product areas?
Will Miller: Well, we continue to work diligently on our engineering side. We're still evaluating potentials for this at this time. But I believe that, at this time we're clearly focused on doing everything that we can to increase supply of raw materials or component parts, more importantly, to all of our facilities.
Arnold Ursaner: Okay. A question for Deb, if I may. On your SG&A, you commented in your prepared remarks that, ex one-time items we should expect similar levels for the remaining quarters of the year. I'm not sure I understand the accounting treatment of the April compensation changes. Obviously, there had to be some retroactively into Q1. So can you separate out the one-time items and maybe give us a run rate SG&A we should expect for the next several quarters? Thanks.
Debbie Whitmire: Yes. The one-time expenses were around $1.1 million that we don't expect to recur. But the additional increase was the retroactive accrual for those compensation changes. So the run rate going forward for the year would be similar to Q1 ex those non-recurring items of $1.1 million.
Arnold Ursaner: Okay. And the new compensation plan though has quite significant cliffs at various levels and is retroactive. So will you be accruing at the higher levels through all of 2023, based on your April 11 press release?
Debbie Whitmire: We'll be annualizing results and that's what the accrual will be based on each quarter.
Arnold Ursaner: Okay. That’s it for me. So I’ll let others in. Thank you.
Will Miller: Thank you.
Debbie Whitmire: Thank you.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to the management for any closing remarks.
Will Miller: I'd like to thank you all again for joining us on the call today and we look forward to speaking with you on our second quarter conference call. As I previously stated, we appreciate and value input from our shareholders and we welcome our investors to join the quarterly earnings call. If you'd like information on how to participate and ask questions on this call, please visit our updated Investor Relations website millerind.com/investors or e-mail investor.relations@millerind.com. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call and thank you for participating in the conference. You may now disconnect your lines. Goodbye.